Operator: Welcome to the global conference call of Daimler. At our customer's request, this conference will be recorded. The replay of the conference call will also be available as an on-demand audio webcast in the Investor Relations section of the Daimler website. This short introduction will be directly followed by a Q&A session. [Operator Instructions] I would like to remind you that this teleconference is governed by the safe harbor wording that you find in our published results documents. Please note that our presentations contain forward-looking statements that reflect management's current views with respect to future events. Such statements are subject to many risks and uncertainties. If the assumptions underlying any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. May I now hand you over to Björn Scheib, Head of Daimler Investor Relations. Thank you very much.
Björn Scheib: Ladies and gentlemen, welcome to the Daimler analyst investors call in context of the Q3 numbers. As you're all aware that we are highly interested in the quality of this call, we would kindly ask you to raise your question in English and to switch off your mobile phones. For the sake of time, Bodo Uebber will give you a short introduction. And after this, we move directly on to the Q&A session. I would kindly ask you later on in the conference call Q&A session to give the name and the name of the institution that you are representing. With this, I would love to hand over to Bodo. Thank you.
Bodo K. Uebber: Thank you, Björn, and good afternoon. We already informed you last week about our divisional third quarter EBIT and free cash flow development. The very good financial performance shows that the renewal of our product portfolio and our initiatives to improve efficiency in all divisions are paying off. Today, I'd like to briefly complete the picture with additional details on our third quarter performance and our expectations for the remainder of the year. First, I will run through our key financials for the first -- for the third quarter. As you have probably already worked through the numbers, I will keep it brief. In the third quarter, total unit sales increased to nearly 640,000 vehicles, 7% more than in the same period last year. At Mercedes-Benz Cars, we had our best quarter ever, selling more than 430,000 units. At Daimler Trucks, our sales were slightly up despite the weak markets in Europe and Latin America. Revenue increased by 10% to EUR 33.1 billion and adjusted by exchange rate effect by 11%. Our EBIT from ongoing business rose by 23% to EUR 2.8 billion. All divisions contributed to this positive development. Group net profit increased to EUR 2.8 billion, which translates in an earnings per share of EUR 2.56. Excluding the gain of around EUR 1 billion from the sale of Rolls-Royce Power Systems, Daimler achieved an ongoing net profit of EUR 1.8 billion, which corresponds to earnings per share of EUR 1.62. Our industrial business generated a free cash flow of approximately EUR 5.4 billion in the third quarter. Excluding M&A effects, the free cash flow amounted to approximately EUR 2.9 billion. Net liquidity of our industrial business reached EUR 17.9 billion at the end of September. Considering the volatility and uncertainty in our key markets and our continued high level of investment in new products, additional production capacity and technologies, we plan to keep net liquidity at a comfortable level. Its primary use will be to strengthen our core business, balance sheet, for example the Financial Services equity increase and watching our pension gap, as well as safeguarding our credit flexibility and thus our A rating. To sum up, our third quarter figures underpin our full year guidance and prove the progress in all divisions. To put our current performance in context, let's briefly look at the market environment in which we are currently operating. The broad economy continues to develop below its long-term growth potential. Worldwide demand for cars is likely to expand moderately by around 3% this year. The Chinese and U.S. markets continue to be the most important growth drivers. Due to weak economic development in Western Europe, market expansion will be relatively moderate in spite of a very low starting point. The major emerging markets apart from China look rather heterogeneous. In India, we continue to forecast a moderate market recovery, while in Russia, the number of cars sold has recently slumped. Global demand for medium- and heavy-duty trucks in 2014 is expected to be slightly below the last year -- level of last year. With the exception of North America and Japan, difficult market conditions are still anticipated for most major markets. The European market suffers from ongoing negative effects of the Euro VI introduction as well as from low economic growth rates. From today's perspective, the market is likely to contract in the magnitude of 10%. For Brazil, we also revised our market expectation downwards. We now expect the market to decrease by around 15% due to the country's ongoing weak economy. Bottom line, the global economy in several of our core markets remain in a difficult condition. Let's have a closer look at our divisions performed in this environment in the third quarter. At Mercedes-Benz Cars, sales were up 9% in the third quarter, underlying the strength of our product portfolio. Mercedes-Benz has again been the strongest growing premium brand. Last quarter, we launched the locally produced new C-Class in China and the U.S. Production will be fully ramped up by end of this year and support our sales momentum. EBIT from ongoing business increased to EUR 1.6 billion and the profit margin to 8.6%. Apart from higher sales, EBIT benefited from a strong product mix, positive net pricing and the increasing effect of our efficiency program, Fit for Leadership. We continue with our product offenses this quarter and launched a refreshed CLS and CLS Shooting Break, a new generation B-Class and our all-new smart 2- and 4-seater. Let's turn to Daimler Trucks. Despite the weak truck market development in Europe and Latin America, Daimler Trucks was able to slightly increase sales by 1%. At the same time, with EUR 680 million and a corresponding profit margin of 7.3%, the division achieved a significantly higher EBIT from ongoing business compared to the same period last year. Higher unit sales in the NAFTA region and the benefits of the efficiency program, Daimler Trucks #1, were the main drivers. Mercedes-Benz Vans also increased sales by 11% in the third quarter and boosted the EBIT by 16% to EUR 176 million. Despite lower unit sales, Daimler Buses increased EBIT to EUR 64 million and expanded the profit margin to 6.2% in the third quarter, thanks to a strong model mix in Western Europe, the benefits of the efficiency initiatives and positive foreign exchange effects. Daimler Financial Services revenue grew in line with our automotive divisions. The division also significantly increased EBIT by 10% to EUR 355 million. Let's now briefly discuss our expectations for the remainder of this year. At Mercedes-Benz Cars, we expect EBIT in the fourth quarter significantly above the level of the previous year. The positive EBIT development will reflect the continuous high demand for our products, as well as the successful implementation of our Fit for Leadership measures. On the other hand, we anticipate cost burdens in the fourth quarter from extension of our product portfolio as well as from investments in new technologies and the expansion of production capacity. We also have to expect a periodic cost, as usual, at the end of the year. At Daimler Trucks, in the fourth quarter we expect EBIT from ongoing business to remain at a good level, further supported primarily by the NAFTA region and efficiency measures. Compared to previous years, last quarter, burdens results from the weak market situation in Brazil and Europe. Remember, at the end of last year, the European market was strongly impacted by the prebuy effect prior to the introduction of Euro VI. And last year's results also included EUR 50 million as equity contribution from Rolls-Royce Power Systems. At Mercedes-Benz Vans, we expect fourth quarter EBIT to remain at a high level but below the results in the same period of last year due to launch costs for the introduction of our new Vito. At Daimler Buses, we expect a slightly positive EBIT from ongoing business. While the complete bus business in Europe should continue to develop favorably, we anticipate significant burdens from the difficult market situation in Latin America. At Daimler Financial Services, we expect EBIT in the magnitude of the previous year. These good results reflect good business developments since the beginning of the year. Daimler will increase the equity of Financial Services' entity in China by around EUR 500 million in the fourth quarter to foster further growth. For all divisions in total, we expect only slight headwinds from foreign exchange effects in the fourth quarter. On the other side, we anticipate a periodic year-end cost similar to previous years. Now what does this all mean for our full year results? Our EBIT guidance for the group and the divisions remain unchanged. We expect to significantly increase our group EBIT from ongoing business in 2014. For the individual divisions, we aim to achieve the following EBIT targets from ongoing business in full year 2014: Mercedes-Benz Cars, significantly above the prior year level; Daimler Trucks, significantly above the prior year level, too; Mercedes-Benz Vans, at the prior year level; Daimler Buses, significantly above the prior year level; and Daimler Financial Services, slightly above the prior year level. Given recent developments in emerging markets currency, we expect the overall foreign exchange effect for 2014 to be significant. Based on our assessment, we anticipate burdens between EUR 600 million and EUR 700 million. For optimization programs at Daimler Trucks, the group anticipates expenses of more than EUR 150 million for 2014 and '15 combined. We have updated our guidance for industrial free cash flow, adjusted for M&A effects as well as special payments in connection with pension and health care benefits. We expect industrial free cash flow in 2014 to be significantly higher than in 2013. To sum up, we continue to deliver on what we promised at the beginning of the year. Our strategy is paying off and Daimler continues to be a promising investment case. In 2015, Mercedes-Benz Cars will benefit from its ongoing product offensive, and the new C-Class will be fully available in markets worldwide. Additionally, we will renew and expand our SUV portfolio with the launch of the new GLK, the facelifted M-Class and a new model, the Coupé version of the M-Class. In China, we will further expand our model portfolio, including the locally produced GLA. Plus, the structural measures we have put in place will show results. To name just one example, the dealership gap to our premium competitors will mostly be closed by 2015. We also keep pressing forward with our alternative drivetrain strategy when we launch the S500 PLUG-IN HYBRID. In September, we announced we will launch a total of 10 plug-in models by 2017. We are very confident in this technology and expect to reach 6-digit annual sales figures by the end of the -- this decade. At the same time, we continue our efforts to improve efficiency. Apart from short-term measure, we will also see positive effects from our ongoing structural improvements. To name 2 examples, we are reorganizing our own retail for passenger cars, and we will benefit from the increased local sourcing, for example, with Star Transmission in Romania. At Daimler Trucks, we have the strongest product portfolio in our history. When truck markets in Europe and Latin America pick up again, we expect to benefit above the industry average. At the same time, we also structurally improved the business. The optimization program in Brazil is just one example. We are currently even discussing to further intensify our optimization measures. To sum up, we will achieve higher earnings in the coming years, thanks to the renewal and upgrades of our product portfolios, our increased presence in growth markets and structural improvements in our organization. At the same time, we will continue with our financial discipline. Now I look forward to your question. Thank you.
Operator: [Operator Instructions] The first question comes from Mr. Daniel Schwarz from Commerzbank.
Daniel Schwarz - Commerzbank AG, Research Division: I am Daniel Schwarz , Commerzbank. My first question would be on the free cash flow. I mean, you had a huge inflow from other assets and liabilities, and I understand that new contracts with residual value guarantees was part of that. Could you explain why that was up so much in the third quarter and how that should develop in the coming quarters? And the second question would only be on production. It seems to be very high for Mercedes in the third quarter. Do you think normal seasonal pattern, Q4 production, will be higher than in the third quarter?
Bodo K. Uebber: First, to your question with regard to other operating assets and liabilities. As you rightly mentioned, this effect resulted primarily from the higher cash inflows due to sales with service and maintenance contracts and from higher, not yet cash effected additions to provisions for product warranties as a consequence of the higher unit sales. So that's the main driver of this topic, so I expect also in the upcoming years, by higher sales volume; of course also, higher effects from these topics. So year-over-year, it will normalize, so to say. But again, you'll see, first, cash effects, and then afterwards, you'll see the revenue and the EBIT effect. But again, based on higher sales. Your second question with regard to production, our production in Q3 was a high one, no doubt. In fourth quarter, we have similar level than in the third quarter. But also, you have seen that we prepared the market for a higher sales increase in the fourth quarter, mainly based on the C-Class development but also smart 2- and 4-seater in group sales.
Operator: The next question comes from Mr. Harald Hendrikse from Morgan Stanley.
Harald C. Hendrikse - Morgan Stanley, Research Division: Two questions, if you don't mind. Firstly, there is clearly some confusion, as yourselves have pointed out, regarding the overall impact on the underproduction in Q2 and somewhat overproduction in Q3 as you went into C-Class production. So really, the question is, maybe you can clarify for us to some degree why this wouldn't have impacted on earnings in the second and the third quarter and why maybe, as we're highlighting, the overall reported margin improvement between Q2 and Q3 on an underlying basis without those production changes wasn't maybe as strong as what you've reported? And then the second question, if I may. Just on trucks, it seems that the U.S. market has run at a very, very high level in 2014. It seems somewhat optimistic to assume that, that will continue at these levels for 2015. And given the order intake on relative versus tough comps for Europe and Brazil going into '15 as well, can you just give us a little bit more color on why you're expecting continued improvement in that business when it would seem that the underlying markets are going to get a little bit more difficult?
Bodo K. Uebber: So thank you for your questions. With regard to the production. In third quarter, we had production numbers of 459,000 units. This production level follows the very good market demand for our products, first; and also, as I pointed out, the fourth quarter development was from strong product cadence, mainly C-Class and GLA ramp up as well as the preparation of the product pipeline in the fourth quarter. At the same time, we shipped 439,000 units. As a small benefit from this relative higher production were the shipments. However, the overall effect relative to the EBIT is very small. It's a double-digit effect. Taking a look at the EBIT at Mercedes-Benz Cars and the overall good earnings quality, this is -- this effect is not very significant, as I pointed out. So that's with regard to the production development. Of course, our inventories at the end of the third quarter are at 250,000-unit level, so that means, as you know that we are going down with our inventories at the end of the year. So partially, of course, the fixed cost coverage which you have in inventories will go on into -- will split with margin development into the third and to the fourth -- into the fourth quarter. But as I said before, it's not significant, and higher earnings quality is offsetting this, too. The second question, to market development in the U.S., we are, for the time being -- and again, we do our market expectations in February for all the divisions and all the markets. So currently, I can only point out on the current situation which we have on hand. In the NAFTA, we are positive. One positive effect is the order intake we get. And there will -- and we also, in the fourth quarter a higher order intake. We see that number already partially in October, and that points out to deliveries mainly in the next year. So there's one indicator, of course. The second one is the GDP development, for example, but also traffic and other indicators. So, we believe from current point of view that NAFTA will be still a good market also for 2015. Of course, I don't want to go now to all the markets. There are certainly different aspects in Europe and Brazil, which, of course, are questioning whether it goes up or down. So the uncertainty in Europe and Brazil remain for the time being.
Operator: The next question comes from Mr. Stuart Pearson from Exane BNP.
Stuart Pearson - Exane BNP Paribas, Research Division: Stuart Pearson at Exane. So I've got a couple of questions. I guess the inevitable car business cost changes number, the EUR 528 million in the quarter. I just -- I mean, I think if I remember correctly in Q2, you were guiding for this number to start to moderate in H2. And obviously, it's gone the opposite direction. So perhaps you can just kind of update us on why that is, why that seems so hard to predict quarter by quarter and why that seems to be going up again in Q4? I'm not sure if there's something strategic happening in here, where you're kind of pushing more of the higher-mix models. And if so, why you're not getting paid for that in the margin. So just a few words around that number. And then just coming to the cost savings in general, just thinking longer term now, because obviously you have delivered pretty much on the DT #1 program, the Fit for Leadership program. I guess net-zero is still ongoing. And you've mentioned and alluded to a few smaller measures being taken on local sourcing and the sales network. But is there something more, I guess, structural that we could look forward to in terms of at the next level of cost saving programs to protect your margins against what will be a tougher macro environment in the next year or 2?
Bodo K. Uebber: Thank you for your question. On the cost changes and predictability, these are the 2 topics you mentioned, of course there's 1 -- there are 2 elements I would like to point out. One is, of course, that with higher sales numbers, you have of course, with regard to life cycle management and content of the cars, you have higher cost effect. So, even if you tried it by numbers, the numbers going on -- up is one topic. And the second topic is marketing costs, for example, with the launch of C-Class and smart and all our -- so also new product where we have to do sample marketing. There are 2 elements, of course, where costs are increasing on top. The one thing is to mention we have again decreased interest rates. Yes, that's right. But in our costs, of course, we have also some effect on that topic. But the good message is all these costs, but you have seen also our work, EBIT work is covered by sales contribution on sales and pricing. So that means what we put in the car, on the one hand, or what we do in measures you'll see covered nicely by volume effect and pricing effect. And that makes also the third quarter a very good 8.6% return. Your question with regard to structural measures, that's nothing new. We have already pointed out in -- a couple of years ago when we started Fit for Leadership and also Daimler Trucks #1 that we have structural measures in mind for a longer period of time. And you see us acting on the car side in some areas. As we have pointed out, we always name the retail business on the one hand. But when you look at the van business, for example, these are all structural decisions on the production network. For example, our localization strategies. Same holds true for trucks, as we have discussed, the Brazilian situation currently but also the European fixed cost reduction efforts. So all of that turns into the right direction, and we will go on with that effort also in the next coming years. One other example is India where we are locally sourcing. Our local content there is over -- is around 90%, which gives us a fantastic position in India to compete, and these are, for example, also measures which we are taking.
Operator: The next question comes from Mr. Jochen Gehrke from Deutsche Bank.
Jochen Gehrke - Deutsche Bank AG, Research Division: Just a few remaining. I mean obviously, net liquidity at EUR 18 billion almost is pretty strong. You said in the press release that you're looking to fund pensions towards the end of the year. So just stating the obvious, or where your thought process behind dividends. I know that this is more a question for the beginning of the year to be concrete. But really, what's behind the idea, with now practically 0 interest rate environment, to fund pensions at this stage? Is there something in return that you're looking from labor to get to agree to such a deal? And then secondly, on truck markets. Yesterday, one of your Swedish competitors described the European market environment as rather sequentially flattish and September, October to be quite okay now. Do you see the same thing, appreciating that you have a slightly different business mix? And then finally, on LatAm, yes, the truck market is very tough. But where do we stand on your organic restructuring scheme in that market? When do you think that we've concluded everything? And is the business now finally fully FINAME ready?
Bodo K. Uebber: Net liquidity, of course, is at a very comfortable level. As I've pointed out, EUR 17.9 billion is like maybe all-time high or just even, I don't know for the last couple of years. But we feel comfortable with that level because of the volatile and uncertain development in some of our key markets. Of course, we will also be going on with our high investments in products. Additional product capacities and technology. But as you also said, we are looking at our pension underfunding. And on top, I've already pointed out, that we contribute EUR 500 million into our Financial Services China business, that we can participate in growth with an underlying respective equity ratio. And on the other hand, we should keep the liquidity on a high level to safeguard our credit flexibility, on the one hand, and also our A rating. With regard to the pension, yes, we are looking into that topic, but there's no decision made. In this regard, and you are right, one economic equation is that currently the interest environment, and it might be for the next couple of years, gives us a low positive interest rate income, whereas in pension, of course, the expected returns are, I would say, somewhat higher due to the investment -- different investment chances you are putting the money into. So that is quite clear. Other than this, I can't discuss now. It is something we will review in the next 2 months and then come back with a new decision in this direction. Dividend, as we have pointed out, we don't -- we have not changed our guidance and policies. 40% of the ongoing profit attributed to Daimler shareholders, so after minorities, is a basis of discussing the dividend. That, of course, you know that our step- wise improvement program should also lead to step-wise improved dividends. Sustainability and robustness is another key word, I do think, for dividend policies we have in mind. And the current net liquidity level, of course, gives us a comfortable level to have a good discussion in February with our boards, respective Daimler Board and Supervisory Board. Your question with regard to Europe, order intakes currently are flat for the last couple of weeks, 3 -- 2 to 3 months. It's a flat development. That is, you can now say good news, because it's not further going down. But on the other hand, it led to the market adjustment for the total year to around minus 10%, as you know. So for that reason, of course we are preparing to cope with that topic. As you know, there is a question of vacation on the one hand also -- but also units per day, for example. But also, you know that we have a pretty high flexibility in trucks world, and, therefore, we cope with that topic. In LatAm, we are well under way with our restructuring efforts. Last year, we started again successful. This year, already to the half year, we had another reduction in capacity. On the other hand, we are now watching the market, more or less. And if the market goes further negative, we need to -- maybe to intensify even our efforts and our program. We don't know yet. We have decided on a -- in December to stop production and to vacation, so to say, for December to react. And that is a good reaction, of course, to keep also inventories on the right level, and we will restart the business in January. So that is the current situation in LatAm.
Operator: The next question comes from Mr. Horst Schneider from HSBC.
Horst Schneider - HSBC, Research Division: It's Horst from HSBC. I have got a few questions. Basically, first of all, I want to ask how the price development was in the third quarter? If it was up globally as it was in this -- that was the case in quarters before? And maybe you can also elaborate a little bit, yes, on the different situations by region, if there's some more price pressure maybe in Europe and China compared to the U.S.? And in that context also, I want to get your opinion. What do you think about the upcoming currency tier event that you are likely to have in 2015 if the euro-U.S. dollar rate stays where it is right now? So do you think that the competition goes in direction that this advantage has to be passed on to the customer? Or you think that there's a rather high chance that if this tier event occurs, that you can keep that basically in your pockets? And the other question that I had was basically on smart. I was surprised that the smart forfour has got only -- is only marginally more expensive than the smart fortwo. And I would like to get in general your thought on the product positioning and also on the issue how you share the fixed costs with Renault. So I would -- what I would like to know basically on the smart forfour specifically, if you just buy the units from Renault, you add a certain margin and then you sell it to the end customer? Or you also carry some sort of fixed cost risks, so meaning that if the sales are lower or higher than expected, then you can have also a lower or higher margin?
Bodo K. Uebber: Price development. Schneider, thank you for your -- for all of these questions. First, I'll go into net pricing. Net pricing is overall positive in the third quarter, and it -- the situation in the -- most markets stayed the same as it was also in the second quarter. We have good development in the U.S. and China, and Europe stays competitive, also Germany. That's about your pricing, that question. And of course, we are positive in our product development, also with net pricing. That is one of the major contributors to that development in all these markets. Secondly, your question whether we can -- the euro exchange rate, whether that can be passed on. I do think that you have 2 questions. On the one hand, you have a euro exchange rate, which is more or less affecting us positive if the currency will stay at these levels, all the levels we have seen, $1.26 for example. And the other discussion I do think you have is a second and differentiated one, whether the competitiveness in the U.S. market in dollar will stay the same, and that is a question, of course, I can't answer yet because if there is a higher competitive situation in the U.S., that has yet to be differentiated. So, sorry, can't give you a clear direction. Of course, we are aiming for -- to getting all of these effects into our -- in our P&L. And on the other hand, I'd like to have a less competitive situation, so best of all, if you might say so. Your next question was to smart 2-seater, 4-seater. Of course, the 4-seater segment is a highly competitive one, and that reflects also our positioning of the 2-seater and 4-seater. That is the rationale of why we are pricing the 2 products, if you might say, close to each other. On the -- and to your other discussion with Renault, I would like to ask you that you ask Investor Relation about that topic. Or competitive no. Björn says no. So there's competitive data. So we don't comment on that question. Sorry to say so.
Operator: The next question comes from Mr. Stephen Reitman from Societe Generale.
Stephen Reitman - Societe Generale Cross Asset Research: Stephen Reitman, Societe Generale. Turning to China and the results you're getting from your JV there. They look negative in the third quarter. It looks like there was a substantial increase in production. It looks like about 40%, I think, in terms of overproduction by Beijing Benz. And so I just wonder if you would comment on what happened in the quarter, I guess, with the launch of the C-Class and when you expect to see that figure really becoming much more positive?
Bodo K. Uebber: So as I -- as far as I know the numbers, our JV contribution is positive in the third quarter. But certainly, we will look it up again. But on the other hand, it's a natural development we have. We have the C-Class launch currently. And therefore, we do have, of course, launch costs, ramp-up costs in BBAC, and therefore, you could say we are down in the equity contribution of the JV. Over the years to come, of course we expect by volume growth, by, of course, now having the all-new, long-wheeled C-Class onboard being more competitive in the product portfolio and then further on, 2016, '17, with the new E-Class, that the profit contributions on the joint venture will also increase over time.
Operator: The next question comes from Mr. Arndt Ellinghorst from ISI Group.
Arndt Alexander Ellinghorst - ISI Group Inc., Research Division: It's Arndt Ellinghorst from ISI here. Just 2 quick things. Coming back to Harald's questions on the production. I think you increased your inventory by 28,000 units, roughly, at the Daimler level, not at the dealer level. Could you just clarify whether this has triggered revenue and earnings recognition or whether these units will effectively be sold off and trigger revenue and earnings contribution in the fourth quarter? And the second one, coming back to Horst's question on the currency next year, could you give us a rough idea what the earnings swing could be in 2015 if the currency were to remain on the current level? Is it like a rough EUR 500 million number or EUR 500 million to EUR 600 million? Or what's your current planning for that?
Björn Scheib: Bodo?
Bodo K. Uebber: Arndt, thank you for questions. First, third quarter question, of course it's not a revenue topic, it is a fixed cost coverage topic because your inventories is already -- is on board. And so you're covering some fixed costs in your inventories. That's the point. And as I said before, it's not a significant topic in the third quarter. And again, quality of earnings and other aspects, as you have seen provisions going up, is also offsetting these kind of effects. So therefore, the number we have shown you, it was 8.6%, is a good number and reflects our ongoing efforts in sales, product portfolio efficiencies and so on and so forth. The currency topic, of course I will update you in total in February about the topic because you know we are doing hedges from now on until February. We might see some volatilities again in emerging markets. This is, of course, a question mark. And you -- we never -- we don't know where we are in February with the U.S. dollar on top. To give you some indication with -- on the level of $1.30 -- of the current level, but the current level is also hedged. Therefore, of course, the average is not $1.26 currently. Of course you know that. It's more north of $1.30. So based on $1.30, we will see a flat development next year in U.S. dollar effect, and we see a positive effect of a -- more than couple of 100 million if it goes up down to $1.25. And then it goes up to $1.35, you see the respective negative effect. That is the tendency for the U.S. dollar. All, other than this, of course we need to update you in February.
Operator: The next question comes from Mr. Jose Asumendi from JPMorgan.
Jose M. Asumendi - JP Morgan Chase & Co, Research Division: Jose, JPMorgan. Congrats on the strong quarter. A few items, please. The first one, can you remind us, please, on your -- where do we stand on the product cycle and going to 2015 launch of SUVs and full availability of the GLA in North America? And then second item, just going back to the cost savings question, of course, cars and trucks for 2015, when do you plan to give us more precise color on this item? And can the SUV product momentum next year accelerate this cost savings at least at -- in the same extent as what we have seen in 2014?
Bodo K. Uebber: Thank you for your question, Mr. Asumendi. Our product portfolio, of course, certainly has not changed yet over the course of the last few months. We will see in 2015, of course, the full availability of the C-Class family, with also now the Estate in Europe and the other launches I have mentioned in third quarter in the U.S. and in China, long-wheel version. On top of that, of course we have, from a margin point of view, good, high-margin cars next year coming up. The M Coupé, for example, M-Class Coupé. Next year on top, of course, the GLA full year availability. On top of that, you know that we have the CLA Shooting Brake as the next derivative in compact cars, which -- where you -- where we discussed the different margin developments between A, B and the other upcoming compact derivatives. The GLK, the mid-sized SUV on top, so next year we will have a year of the SUV. Renewal and on top of the facelift of the M-Class. And on top, you have seen the Mercedes-AMG GT, which is starting in the first quarter 2015. And last but not least, in the S-Class segment, you know that we are launching the very long version of the S-Class, if I might mention it -- the name of the car this way. So all of it contributes next year. And there's no change, as I've said before, to the last couple of months. With your question towards cost savings, I mentioned that before. We will never stop to do cost savings. So we will -- our program in Fit for Leadership, I already pointed out, as I said before, years ago, that we will go further with next phases of Fit for Leadership programs. We have also pointed out in trucks that our efforts in variable cost reductions for the new Actros family, for example, will go on. As you see us not stopping in Brazil and in other areas from doing our job. And therefore, we will go on further with the -- with our efforts with regard to our EUR 4 billion program, which is a combination of cars EUR 2 billion, trucks EUR 1.6 billion, buses and vans. Of course next year, we will -- the full -- we will see the full impact on this EUR 4 billion program. That's it for the time being.
Operator: The next question comes from Ms. Kristina Church from Barclays.
Kristina Church - Barclays Capital, Research Division: Kristina Church here. If I could just come back to FX and just if you could update us on how covered you are for 2015 and '16 in terms of hedging. I know you said it was somewhere north of $1.30 for the U.S. dollar, but I was just wondering what percentage of hedges you had in place. And then also, my second question is around pricing for trucks. If you could give any update on what the pricing is looking like in the truck sector here by region.
Bodo K. Uebber: Kristina, thank you for your – for the questions. I'll give you the number for the U.S. dollar hedges, U.S. dollar entry maybe in total, because the 2 currencies are somewhat covered. It's in 2015, 60%. And in '15, 60%; and in '16, around 30% we are hedging. To just give you a flavor. Of course, there are some currencies, other currencies than U.S. dollar and where maybe where you can't go for these longer periods. For example, in Russia, the interest rates are pretty high so that the -- that you don't go for longer term hedges, for example. Other than this, in matured markets are following this kind of 60%- 30% direction. Your second question with regard to pricing, it's overall good except -- but this has also not changed against the second quarter, in Brazil where the situation is, according to the market, of course, a very competitive one.
Operator: The next question comes from Mr. Philip Watkins from Citi.
Philip Watkins - Citigroup Inc, Research Division: Philip Watkins from Citi. It's really on Financial Services. I heard, obviously, the mention of more -- about EUR 500 million more for the Chinese business. Is it the case then that there's likely to be more for the non-Chinese business? And perhaps you could quantify that. And actually, just on that China point, it's a fast-growing market. Putting EUR 500 million into Financial Services there, I can see why. Does that sort of enable you to accommodate the growth the next couple of years? Or do we -- or should we perhaps expect that there'll more equity going into Financial Services in the years ahead?
Bodo K. Uebber: So the EUR 500 million in the Chinese business, we need to support the industrial business with a good penetration and, therefore, with a good sales support in that business. You know that the portfolio in China is developed by the actual development, but also the equity you have in place. And that is also discussed with the authorities, whether you get the cap or not. So by introducing -- or by putting EUR 500 million into our Financial Services operations, we will also get to the next level of portfolio possible to possibly grow further, and that makes it necessary in China to do it. Our penetration rate now in the third quarter is at 25%. Currently, we have reported in second quarter 20% roughly, so we are on a good way to further support our business, which, of course, also lead to a higher loyalty and other topics. We are currently, in Financial Services, at 7.6%, end of third quarter in equity ratio. With that EUR 500 million, we get to a worldwide number of north of 8% for the total portfolio. And now for the years to come, of course, we plan to go further ahead directionally 8.5% to 9%. But the good news is that we do think that we can manage it also of the earnings contribution of Financial Services by itself. So we will keep some of the earnings as retained earnings in Financial Services so that we have to -- not to put some money from the industrial part into Financial Services. That is the current view on the upcoming plan, the upcoming years. And that, I do think, is a good message because we don't need industrial liquidity to put into Financial Services. The ratio will be increased.
Philip Watkins - Citigroup Inc, Research Division: To about 9%.
Bodo K. Uebber: 8.5% to 9%. You don't have a question you can answer -- that we can finally answer in the years to come.
Operator: The next question comes from Mr. Charles Winston from Redburn.
Charles Winston - Redburn Partners LLP, Research Division: Charles Winston from Redburn. Just one left from me. You've been -- you've mentioned a couple of times the quality of the results you just reported, as you said, talking about the scale of provision charges that were taken. Could you quantify the P&L impact? In other words, how much was the P&L restrained by these various noncash charges? How much has that gone up year-on-year? In other words, what's been the restraint of the year-on-year growth? And whereabouts would we see that restraint in the profit bridge? Would it be in -- buried in the cost item or spread between the cost and the revenue side?
Bodo K. Uebber: I keep it very simple in this regard. First of all, on our EBIT guidance, you see that our EBIT guidance is unchanged for the quarters -- from the last quarters, and we will deliver on what we had promised in the beginning of the year. And we do somewhat better now against what we had in mind in February. So that gives you the best information that we are doing well on our earnings. And there's no contributions, so to say, from any provisioning and other topics with regard to the EBIT guidance, first message. Second message, the same on cash flow. We have changed our cash flow guidance from to just deliver significantly less than 2013, which was EUR 3.2 billion number. So we changed it to significantly more than EUR 3.2 billion. So that is good news for everything because we wanted to cover the dividend at minimum. And secondly, it gives you a feeling that we are on track with our also cash flow management in the years to come. I do think these are the 2 best takeaways, I would say, from the third quarter you can take. So that answers also your question, which is a very detailed one, but the overall picture is a better picture for this answer.
Charles Winston - Redburn Partners LLP, Research Division: Sorry. Forgive me for coming back. But -- and sorry, I was not in any way talking about provision releases. I recognize that there is a high-quality result here that has been restrained by provision charges. And it was a matter of just trying -- and as you say, the EBIT guidance hasn't changed too much, the free cash flow guidance has changed quite a lot for the better. And so, therefore, of course, one of the reasons why EBIT hasn't changed so much, but cash is better, is because we've got all of these noncash charges such as provisioning. So I was just trying to get an angle, an idea as to the scale of these charges. As I said, recognizing that it's a good result, how much is the restraint -- has the P&L side of things been restrained by these charges?
Bodo K. Uebber: So we don't quantify these effects you are mentioning. But when you go back to our discussions in February, we had these pull-forward effects from the 2013 year, which we are not seeing anymore. So that was a main effect because we were -- that we are underneath our last year's number in cash flow because we thought we get outflows from the -- which were inflows in 2013. And that was a major change in our cash flow guidance, on the one hand, and our group earnings development over the quarters. These are the main effects.
Operator: The next question comes from Mr. Fraser Hill from Bank of America.
Fraser Hill - BofA Merrill Lynch, Research Division: It's Fraser Hill from Bank of America. There's just 2 left for me. I just find surprising, I think, onboard your comments earlier about your own pricing being positive, I think in most global markets. I think that was your message. And of course, you said that in the first half of this year. I think back to the Q2 call, you were talking about a very tough pricing environment in Germany, though, as it pertained to your competitors' behavior. Can you just update us on that, how you're seeing the competitive environment? And also in particular in China as well, obviously, since we've had the antitrust investigations, there's been some talk about discounts perhaps from your competitors increasing. Is that anything that you're seeing? And is that something that's becoming a challenge for you or something that you're having to think about when you're addressing pricing, in particular the German and the Chinese markets? And then one final question, just on your comments about smart and Q4 margins. Was the message that the margin would be unlikely to grow in the fourth quarter because of the growth in smart? Or that absolute profit was unlikely to grow because of the dilution from smart? I wasn't quite sure about that.
Bodo K. Uebber: Okay, thank you for your questions. So to keep it to the big picture, it has not changed compared to the second quarter either in Germany nor in China. So there's no change to the commentary made in the second quarter are still the same. Your question on smart, of course you know we don't give quarterly developments and guidance on margin developments. But one element will be to, of course, due to the launch of the smart but also our compact cars in fourth quarter, the mix, will be compared to the third quarter, somewhat weaker, so to say. That gives you a direction.
Operator: The next question comes from Mr. Adam Hull from Berenberg.
Adam Hull - Berenberg, Research Division: Adam Hull from Berenberg. Just 2 questions. Firstly, on trucks. If I look at the 7.3% margin in Q3, it seems a pretty decent number given the FX situation, the weak production in Europe. I don't know if you can help us a little bit more when we look at the EBIT walk-down on trucks. I think you showed plus 53 in the other cost changes there. Could you sort of help us break down a little bit what sort of underlying cost improvements as it were? And I guess you're factoring in some cost increases there for the Euro VI emissions content in Europe there. And then secondly, you've mentioned on the free cash flow, the working capital. I mean, to what degree do you have further structural potential to lower that? Obviously, some of your French competitors have negative working capital. Is there more you can do there? And then maybe within that, is there a significant opportunity when you sell some of those dealerships in Germany? What kind of numbers might we be seeing back in terms of working capital?
Bodo K. Uebber: Well, thank you for your question. Of course, the truck cost development is a very favorable one. You see us, and it's also in cars, on the material cost side having net improvements. So therefore, it's in both divisions, a contributor in efficiency, a strong one. On top, we have in trucks fixed cost reductions. As we had pointed out, Brazil is one topic. Germany, for example, is another topic. So the situation in trucks is that we can even reduce net costs because we have not the capacity increases and product content which we have on the car side. That makes it on the car side negative, but we are having strongly sales contributions in cars. And on the truck side, we don't have these capacity increases, and that means, of course, that these add-on costs, we are not seeing in trucks. And therefore, it makes it a net positive in cost. Cash flow management, supply chain management, yes, there's further opportunities. As we have pointed out, we are not stopping with any effort in this broad field of optimization area. So we will come up with further unlocking potential in this topic. Of course, certainly, there's also some risks. In liabilities, for example, there's a European directive which we have to analyze, where you know that the payment terms changed to -- in Germany to 30 days. That is something we are analyzing further and seeing whether we have effect there. Other than this, again there's potential. And I cannot comment and will not comment on the German dealership side. That's too early to say. We are doing our job here in the restructuring and come up with numbers in other topics when we have -- when we are ongoing in the project. Sorry.
Adam Hull - Berenberg, Research Division: Can I just ask on the truck side? In NAFTA, just remind me when your gearbox plant will come on stream in the U.S? I think that's a potential area of opportunity. But I think that's not for a while, is it? Or when is it?
Bodo K. Uebber: We will start with that end of next year.
Operator: Thank you. There are no further questions.
Björn Scheib: So ladies and gentlemen, thank you very much for questions today. As always, Investor Relations remains at your disposal to answer any left or open questions. With this, we wish you a very nice day, and we'll talk soon. Thank you so much. Bye-bye.